Operator: Welcome to the conference call of Wacker Chemie AG. At our customers' request, this conference will be recorded. [Operator Instructions]. May I now hand you over to Joerg Hoffmann, Head of Investor Relations, who will lead you through this conference. Please go ahead.
Joerg Hoffmann: Thank you, operator. Welcome to the Wacker Chemie AG conference call on our first quarter 2021 results. Dr. Rudolf Staudigl, our CEO; and Dr. Tobias Ohler, our CFO, will take you through our prepared slides in a minute. The presentation is available on our web page under the caption Investor Relations. Before we begin, please allow me to point you to our safe harbor statement, which you will find at the slide deck's beginning. Dr. Staudigl?
Rudolf Staudigl: Welcome to our call on the first quarter of 2021. This quarter continued to see a strong performance. It was the third consecutive quarter of growing sales and earnings since the pandemic induced a slowdown last year. At almost - or at €1.36 billion, sales are up 14% year-over-year. This is the highest-ever first quarter sales figure in our company's history. Earnings followed a similar trajectory, with EBITDA up 42% over last year and 26% ahead of the fourth quarter. Solid demand across all of our businesses drove reported EBITDA to €246 million. The strong result also benefited from strict cost controls and an increasing share of specialized products. Let me now provide you with a quick overview of our segment's performance and ongoing sustainability initiatives. Silicones sees very strong demand. Many sectors are ordering volumes well above prior levels. This is putting a - our capacities under strain. We are increasing CapEx in silicones this year to about €150 million. This CapEx will support downstream growth with targeted investments to alleviate the most severe bottlenecks. We focus on enabling our customers' specialty applications. Our strategy of being the preferred innovation partner of our customers is working. We have grown our specialty volumes by more than 10% compared to last year. At polymers, we run on all cylinders. We were able to fill up last year's capacity extensions in Korea in a very short period. The global smart construction trends continue to drive polymers. The EU Green Deal will be a catalyst for new investments in renovation and construction. In China, we support the ongoing transformation to higher building standards. We recently announced a doubling of our capacities in Nanjing to support our customers' growth. Unfortunately, massive upstream outages have put the acetyl supply chain under severe strain. Another factor is logistics issues. Prices for acetyls have climbed to unprecedented levels. We responded fast with price hikes, but we need to do even more. We need to share this burden with our customers to ensure the high level of deliveries and service they have come to expect from Wacker. Biosolutions is preparing to start production of the mRNA-based COVID-19 vaccine for CureVac. With this step, we expand our manufacturing capacity to produce 100 million doses per year. In our view, mRNA represents a promising new technology that sees its first large-scale deployment in COVID-19 vaccines. Vaccines are just one potential application. There are other promising applications for mRNA or pDNA such as cancer treatment. At Biosolutions, we have a unique CDMO toolbox set up for growth. We look forward to providing you with more insights into our fast-growing biopharma and bio-ingredients business as the next installment of our Capital Market Day series in June. Polysilicon continues to see a run on our high-quality materials. Demand for high-quality polysilicon remains strong. Both semiconductors and PV solar see strong growth this year. Undisputed, Wacker is the benchmark for quality in the industry. We expect the demand profile for our solar-grade materials to improve. At the same time, the PV market continues to raise towards the highest-efficiency systems. Across all our businesses so far this year, the global rebound in demand has supported the strong volume growth. On the other hand, it also triggered shortages and a strong rise in raw materials. Outages at the U.S. Gulf Coast drove up the prices of many raw materials to levels not seen before. This effect is still in full force, lasting much longer than we initially anticipated. We see inflation in ethylene and silicon metal and extreme and unnaturally high price levels in VAM, vinyl acetate monomer, and acetic acid. Combined with currency headwinds, this will hold full year EBITDA back. Our assumption is over €200 million. That's more than twice as much as we expected when we spoke in March. Yes, our overall business performance keeps improving. We feel confident to raise our guidance while keeping an eye on the potential risks. Let us just take a step back. Let's look at the most recent surge of the coronavirus in India. We should be aware that such negative surprises might cause setbacks in the global recovery. The virus is not defeated yet. With a look at these risks, we continue to guide cautiously. Yes, we tend to approach such uncertain situations with a strong degree of conservatism. I believe, however, that such a conservative approach to guidance has suited us well so far. Nevertheless, we now see full year sales growth in the low double digits. We expect EBITDA to grow by 15% to 25%, focusing on the top end of the range. Before I hand over to Tobias, I would like to give you a short update on our sustainability initiatives. Our so-called RHYME project for generating green hydrogen and renewable methanol and has reached the next selection stage for EU funding. Our goal is to reduce the proportion of fossil raw materials in our chemical processes. Unfortunately, electricity costs are such that we need EU support to roll this out; however, the awareness in German politics for the need of low electricity prices grows fast. Without that, an electrification of energy consumption, and thus, low emissions would not be possible. Also, we just published our progress report on UN Global Compact where we again confirm our commitment to sustainability. The document provides an overview of our efforts. Now let me hand over to Tobias. Tobias, please?
Tobias Ohler: Thank you, Rudi. Welcome, everybody. Let me begin on Page 3 with our P&L. Gross profit at €300 million was substantially higher than last year. The 35% increase results from a combination of factors: higher volumes, price and mix improvements and strict cost controls. The S, G&A and R&D line was about 5% lower than last year, adding to the savings already achieved last year. We benefit from the ongoing effect of our Shape the Future restructuring program. We are on track with this program. Following the improvement in gross margin, SG&A and other operating items, our operating result at €162 million is €100 million better year-over-year. As we now hold our share in Siltronic as an asset-for-sale, its business performance is no longer reflected in our P&L. As a reminder, the Siltronic contribution amounted to €8 million in the first quarter of last year. Q1 net income was €107 million or €2.06 per share. Our balance sheet on Page 4 saw total assets increase to €7.2 billion from €7.0 billion at the end of last year. Our cash and securities balance now amounts to about €1.5 billion, underlining our strong liquidity position. The benchmark interest rates for the investment-grade corporates increased from 0.7% to 1.1% during the quarter. As a result, our pension liability contracted by €428 million to €2.3 billion. When factoring in the pension-related deferred tax asset, our net pension liability now stands at about €1.8 billion. This is still very high as a level. As interest rates stay low for longer, we need to act. As I mentioned, the last time we spoke, we are looking into a pension system reform. Talks are underway. Nothing new to report today. We will keep you posted as we progress. As Rudi said, demand for silicones, on Page 5, remains very strong. We are operating at capacity limits. Sales came in at €613 million with an EBITDA of €122 million. We saw strong volume growth in specialties, and the market for standard is currently much better balanced. The strongest demand drivers today are the construction, automotive and industrial sectors. During the quarter, we were held back by feedstock availability and logistics issues. Our Dow joint venture had a turnaround limiting our access to siloxane in China. Also, the quarter saw headwinds from raw material inflation and currencies. We have increased our forecast for silicones. Looking to the full year, we now expect a high single-digit percentage sales growth, supported by continued growth in specialties. This is also the focus of our CapEx. We invest in supporting the growth of our customers. Today, we see our full year EBITDA increasing by a low double-digit percentage over last year. Looking at polymers on Page 6. Sales came in at €350 million, 6% higher than last year. EBITDA in the first quarter came in at €50 million. This is down €12 million year-over-year. Key to this development is a more than €30 million headwind from raw materials and currency alone in this quarter. Volume growth in powder and adhesives was strong. Orders were substantially higher than last year, and the order book continues strong. The raw material cost inflation continues beyond the first quarter. The disruptions caused by many force majeure declarations and global logistics constraints carry into the second quarter and potentially beyond. Given the massive surge in raw material costs, we have installed surcharges to all our sales contracts. We have updated our forecast for polymers for the full year. We now see a high single-digit percentage sales growth driven by volumes and prices. The raw material impact should peak in the second quarter, severely hitting our margins. As a result, we now expect the full year EBITDA margin to be below our targeted range of 15% to 18%. On Page 7, Biosolutions reported sales of €68 million driven by increases in biopharma sales. EBITDA came in at €6 million. Raw material inflation that afflicts polymers also hits our gum business. In addition, integration costs of the acquisition in the U.S. and ramp costs in Amsterdam for the vaccines weighed on earnings. For the full year, our expectations for Biosolutions are unchanged. We expect a low double-digit percentage sales growth. EBITDA should come in slightly above last year. Our performance of this year will largely be dependent on how quickly we can ramp the vaccine production. Polysilicon on Page 8 reports strong volumes and increasing prices. Sales in the first quarter were €298 million, up 62% versus last year. EBITDA increased to €51 million in the first quarter despite negative effects from inventory reductions still weighing. Against the preceding quarter, the average sales price for solar-grade material was only slightly up due to mix effects and time lag effects. Demand is so strong that our inventories in our Chinese hubs are by now depleted. At the request of our customers, we have started shipping directly from Germany again. We have increased our expectation for polysilicon. We now see sales growing over 25% with EBITDA margins of over 20% for the full year. We expect pricing for solar grades to remain firm for the second quarter. For the remainder of the year, we model with increasing price volatility. Looking at our net financial debt bridge on Page 9. We ended the quarter with a net cash position of €45 million. Our operating cash flow was €216 million. This is more than twice the amount we generated in the first quarter last year. Our group full year guidance summary is on Page 10. All our segments continue to report a combination of strong demand and high order intake. We have upgraded our sales expectation. Raw material costs are significantly higher than anticipated the last time we spoke. Despite this, we have upgraded our EBITDA expectation. With this, I hand you back to Rudi.
Rudolf Staudigl: Thank you, Tobias. Ladies and gentlemen, as Tobias showed, all our segments performed again very well in the first quarter. This performance is a result of a consistent strategy for all segments. Let me quickly review these strategies before we move to the Q&A. At silicones, we are focused on being a full portfolio supplier with a special emphasis on specialties. Upstream, our capacity additions come mostly today from debottlenecking, something that we excel at. An increasing share of specialty products, productivity gains and a strong focus on innovation at the customer are key drivers for our success. Polymers remain the undisputed global leader in VAE technology. With the combined offer of dispersions and powders, we provide customers in all regions with leading water-based binders. At Biosolutions, our dedication to innovation is beginning to reap the rewards. We aspire to become a leading microbial CDMO, driving mRNA and pDNA opportunities. Also, we have identified promising additional options in nutrition. In polysilicon, we continue to both lower costs while maintaining an industry-leading high quality. We focus on mix improvements by increasing shipments into semi and high-end solar. And with the quest for higher and higher efficiencies in solar, the quality demands migrate towards semiconductor specifications, which plays into our hands. Siltronic was our largest business measured in sales when I took office. Now we have successfully deconsolidated Siltronic and support its acquisition by GlobalWafers. The merger of Siltronic and GlobalWafers, once finally approved, will create an industry leader that offers an extensive portfolio and can supply all semiconductor customers with leading-edge products. From the financial crisis in 2008-2009 and all the way to the pandemic, we have seen ups and downs. Through these times, we actively supported the strong and steady chemical growth with targeted investments around our global footprint. Our 3 chemical divisions grew strongly at about 6% per year over the last 15 to 20 years. Some of you may recall that I once said at the height of the polysilicon rush that we are not Wacker Solar but Wacker Chemie and that you should look at us this way. Over the last years, I got the impression that most of you follow the growth in chemicals and have come to see us similarly. I reconfirm my belief that polysilicon will stabilize over time and become a steady contributor to the group. I'm also convinced that the strong growth in chemicals will continue based on our innovative portfolio, our market presence and our marketing capabilities. The new and additional force in our portfolio will be the growing biopharma business in Biosolutions. We have promising opportunities there. mRNA-based COVID-19 vaccines is a great illustration. Sales over the next years should balance our group portfolio even better. Please allow me to close this call with a personal note. Today is my 52nd and last earnings conference call. At the Annual General Meeting in May, I will step down and hand over the reins to the company to my successor, Christian Hartel. Christian is a Wacker Board member since 2015 and has been a sound pillar of our leadership team for many years. Please provide him with the same open and challenging attitude that made my time with you so interesting. I have enjoyed the sometimes challenging and always engaging interactions with you all, and I will certainly miss the rewarding intellectual exchange and the many smart questions. Thank you very much.
Joerg Hoffmann: Our presentation ends here. We will now begin with the Q&A session. Operator?
Operator: [Operator Instructions]. The first question is by Thomas Swoboda of Societe Generale.
Thomas Swoboda: I would try three questions, if I may. Firstly, just a quick clarification. The €200 million headwind from raw materials for the year, does this also include the currency headwind as well? My second question is on polymers where you sound very cautious, especially on Q2 because of raw materials, which is understandable, I think. But if I'm not mistaken, there will be also a bigger maintenance shutdown. Could you help us to assess the headwinds from the shutdown, please? And thirdly, on polysilicon, this is a little bit more philosophical one. But if I look at the polysilicon space in China, there is a lot of moving parts. And it seems like there is much more pressure, especially from the West, on the polysilicon manufactured in China. The market is booming at the same time. So my question is, have you noticed interest again from buyers to sign long-term contracts looking for partnerships or even if Chinese polysilicon producers are trying to diversify themselves outside of China?
Tobias Ohler: Thomas, this is Tobias speaking, and I take the easy ones and not philosophical one, number one and two. Your first question goes to the raw materials and the exchange rate impact. We said at the last conference call, it would be more than €100 million of negative impact. Now we see this is more than €200 million. So it's a combination of both, but I can tell you the majority is from raw materials. Exchange rate is at $1.20. It's not too far away from prior year. The second question is on polymers, the outlook for the second quarter. I think you really spot it. This will be a tough quarter. We see raw material prices still up in April. So we assume a peak in raw material prices. We have announced price increases, and we are implementing those. But in addition to that, you also mentioned the planned maintenance shutdown, and this is in the situation where we could truly need that facility. So in total, the second quarter will be tough, as I said, and margin could be even single digit.
Rudolf Staudigl: Yes. Thomas, the polysilicon scenario is always interesting on a global basis. We certainly have seen many announcements of new capacities over the last year; however, as much as we can say, there will probably not be any significant additional capacity coming on stream this year. We certainly see interest from some customers on entering long-term or longer-term agreements. And this is something that's certainly a very good development. And it's always the case when demand exceeds supply. And this is another confirmation of the situation where we are right now. We also see interest of Chinese producers to diversify into different regions for all kinds of different reasons. And one additional reason certainly is the, let's say, more extensive use of hydroelectric power rather than coal power. And certainly, we are aware of some political discussions, but we do not want to participate in these discussions.
Thomas Swoboda: May I follow up on that? I mean, being very straightforward, have you - has Wacker been contacted by one of your competitors in - for a JV or for whatever reason?
Rudolf Staudigl: No. There is no reason for us to enter into a JV at this point in time. The answer is no.
Thomas Swoboda: And on a personal note, I just want to say thank you for all your time, Mr. Staudigl, and congratulate you on your very successful career at Wacker. I'm very happy that the strategy in all the segments have come to a very good end on time. All the best for your teaching career.
Rudolf Staudigl: Thank you very much. I really appreciate your words. It feels good. Thank you.
Operator: The next question is by Andreas Heine, Stifel.
Andreas Heine: Actually, I would also like to spend some moments on you, Mr. Staudigl. Following Wacker as a sell-side analyst since the IPO in 2006, I feel also compelled to say farewell. I looked up that you have been working for Wacker for 4 decades and 25 years of that in the Executive Board, and that was really critical to shape the company to what Wacker is today. I've seen that you started your career at Siltronic in 1983. 10 years later, you were already in the Executive Board. And with the IPO in 2015 and the announcement of selling it off to - completely in 2020, it was basically at the beginning and at the end of your career. I've looked on silicons, and I've obviously seen that the investment in downstream activities were very successful. Looking on the market share you have provided, and I have seen that you were the only one keeping the market share against rising competition, whereas all your main peers were losing something. And obviously, the mix has improved the margin structurally, which was also a great success. And looking into polymers, your CFO, Tobias, always expressed that he is liking this business quite a lot because of the low capital intensity and high ROCE of the business. However, you created the luxury problem by turning it into a capital-intensive business, investing €100 million every other year in the new state-of-the-art plants to keep pace with the growth. And I'm sure Tobias is not really disappointed about this capital requirement. You mentioned already Biosolutions. Well, I've looked up, you started the research in this biopharma in 2003. So that really means that you have to have the long breath to get where this business is now, and it was a big surprise when you came up with this 100 million doses mRNA for the COVID vaccine you delivered to CureVac. On polysilicon, well, tough years, '18 to '20, but Wacker stayed strong. And you're basically the only western player left to serve the solar market. While you came from the semiconductor side, which means that the quality was core, and that means purity. And in the solar market, you kept this purity and quality and made no compromise. What basically meant that for a decade long, you oversupplied the solar market with overengineered products. But also here, you were right. There's a trend from multi to mono technology and from P-type to N-type, the highest quality is required. And finally, it is a competitive edge. So it was really right to stay on this quality. And you never commented on this, but some say that the market share you have in polysilicon to the semiconductor industry is close to 50%. Well, that means that half of all the servers of Amazon, Microsoft, Google, half of all smartphones, half of all hardware used for artificial intelligence, 5G mobile, Bitcoin mining starts with the silicon in Brookhouse and Tennessee. So Brookhouse and Tennessee might not be the largest polysilicon sites anymore, but sure they are the most essential ones globally. And I'm aware about the discussions in polysilicon, whether it's good for the investment case to have it or not, but I personally like to see these essential assets in good hands. And I really have to say, to finish your career at Wacker with a major rebound in earnings at polysilicon is what we say in German [Foreign Language], which loosely translates to lack of the hard working. Mr. Staudigl, I'm sure that your successor will appreciate the good shape of the business you are handing over, mentioning also that the net cash position at the balance sheet. So it was really impressive what you achieved in your leadership, and I really wish you all the best for your future endeavors. Well, finally, I have still 3 questions I like to add. The first one is on polysilicon. While we have seen prices going up a lot in polysilicon, in aluminum and glass as well, so that means that the module producers have to increase their prices substantially, and that obviously harms the return of solar power plants. Do you see any risk that the rising module prices might impact the demand in solar in the second half? Second question is on Biosolutions. Well, CureVac said that they expect the registration in May, and you said that you are already in the ramp-up of producing this vaccine. If the registration is there in Q2, is it right to assume that we should see the first strong sales increase in Biosolutions in the second quarter? And then lastly, on silicons. Well, taking Q1 EBITDA as a run rate would clearly deliver a higher 2021 EBITDA than is reflected in your segment guidance. So what have you baked in the guidance, which basically assumes sequentially falling earnings in an environment where prices are going up? These are my questions.
Tobias Ohler: Andreas, I would start with number three. Yes, if you take the run rate, you come to a higher number, and we are cautious for the second half. I think that's the overall approach of our guidance that is reflected there. There's nothing that we know about the second half that this would really come. But yes, as a matter of principle, also highlighted in the speech, we see still the risk of potential setbacks also from the coronavirus, as mentioned, with India just as an example. And raw materials are increasing sequentially, to add to this. There's not so much effect in the first quarter, a little sequentially also from the fourth quarter into the first quarter. But the second half, there could be a more significant effect. And I think that's it.
Rudolf Staudigl: Let me just make a few comments on your questions. As I said, we are ready to produce the mRNA for the vaccine. And of course, we are in close contact with CureVac on this. And as soon as the - yes, the vaccine is approved from the regulatory agencies, we are ready to produce and - but on the detailed timing, I would propose to ask CureVac, but Wacker is ready. Then on - yes, we are aware that, of course, poly prices have gone up, and aluminum and glass has gone up. Although the shortage of the glass is not there anymore, it's alleviated because more capacity is available. And I think it will be a supply and demand game. Yes, I mean if prices for modules would significantly go up, demand certainly would be reduced a little bit. But on the other hand, I think we have to see the global developments, and the global developments just call for more and more installation of renewable energy. So we are not worried on the long - mid- or long-term effect. Even on the short-term effect, I'm really not worried. So we said all along we are in the right business there because of the sustainability efforts in the world. And yes, I mean, there will be demand fluctuations over the next few years definitely, but I would - I don't see severe fluctuations at this point in time. And then, Andreas, I really would like to thank you very much for all your words. It feels almost too much. And I definitely can stress that it's not me. Of course, a company needs somebody at the leading position, and I was happy to do that. But I really want to emphasize that the company has lots of talents in the top leadership as well as everywhere in the organization. And as always, people do it. So I think putting the right people in the right place is the most important task of management. And I think we were very successful doing that. And yes, we stayed our course. Sometimes, it was very difficult and frustrating. But on the other hand, I think, ultimately, the company and the customers and the suppliers and the markets benefit from that. So I'm happy to end my career at Wacker with this positive note, definitely. On the other hand, yes, it has been part of my life. But there are just great people taking over and leading the company into certainly a bright future. So I'm very optimistic about the future of the company. And I'm always optimistic about my own future. I will miss Wacker, but I will have, I think, a good life without Wacker too. So again, Andreas, thank you very much. I really appreciate your words. It feels good. Thank you very much.
Operator: The next question is by Jaideep Pandya of On Field Research.
Jaideep Pandya: I'll start with the questions first and then end with a thank you.
Operator: Very sorry for that. It seems like you just hung up. The next question is by Geoff Haire of UBS.
Geoff Haire: I just got a couple of questions. First of all, on the Other line, in EBITDA, you've got a €19 million inflow. I was wondering if you could sort of give some details of what that is? And I think you're also guiding to minus €40 million for the rest of the year on Other - sorry, minus €20 million. So does that mean we have minus €40 million in the next 3 quarters effectively to get to that number? And also just in terms of the - in polysilicon, obviously, you had an inventory correction in Q1. But I was wondering, given your comments about the fact that inventories are now at very low levels in China, does that mean that we're now through that and that we can expect to see average selling prices in polysilicon going up towards spot levels that we're seeing in the market at the moment?
Tobias Ohler: Geoff, Tobias. On the Others, I think it's a great observation. But you look at only a quarterly figure. So yes, it was positive, but we always have fluctuations in the Other line. This time, we had an external credit received in our infrastructure. And this is an operational item, so it will get reallocated to the segments, to the divisions over the course of the year. So - and that is the reason why the overall guidance for the full year has not changed at all. So it's a negative double-digit million euro number, say, €20 million, as you just mentioned. And then in addition to that, we have the equity result. But in this year, it would be mostly the dividend paid by Siltronic. The second question on polysilicon and inventory moves, it's a tricky one. There's 2 factors that have an impact on inventory: it's the valuation change, number one; and the volume change. So the valuation change that was sequentially positive because we had seen a sequential slight price increase. But the volume change was sequentially negative because we had a significant inventory drawdown. And I don't want to give effect on those magnitudes, but it was, yes, a double-digit million number. It was not low, not mid-, but it was significant between the quarters, fourth quarter and first quarter. But as inventory is now down, I mean, these effects get smaller. That's obvious. Inventory is down, these effects get smaller. And I think the third question was on prices. I already mentioned that we had a price increase sequentially. If you come from the outside and challenge us with things that you observe externally, it's sometimes difficult because, I mean, we sell differently. The dynamics are important. That is an important point. Q4 was slightly down month-by-month if you look into the detail. Q1 was up and - especially towards the end, it was strongly up, and that is the reason why we do see lag effect in pricing. And in addition, as I mentioned, we had a strong inventory drawdown, so we had significant mix effects. And to be honest, I personally am not disappointed with pricing in the first quarter. Indices are relevant to us, also at the very high end, those indices. But we couldn't show it in the last quarter and you should never take just the latest quarterly price point and then try to estimate from that the average that we should have achieved. I think that's so much for pricing. Does that answer your question?
Geoff Haire: Sort of. Yes, it does.
Tobias Ohler: I mean if you look into the second quarter, that will be definitely better, much better.
Operator: Now we again have Mr. Pandya of On Field Research.
Jaideep Pandya: Sorry about that. Yes, the first question really is on the acquisition you've done, Biosolutions, the Genopis. So the pDNA portfolio that you've acquired or the product that you acquired, do you have any sales in the U.S. currently with this? And can you actually develop this product for vaccines outside of the mRNA platform? That's sort of my first question. My second question really is around the semi-grade poly. Could you just give us some color on your exposure to GlobalWafers today? And also, when you think about the 2-, 3-year view in semi CapEx, what is happening right now within wafers and also within fabs, when will you actually grow hand-in-hand with what we are seeing in the wafer and the fabs market? That's my second question. And then finally, Dr. Staudigl. I want to wish you also good luck. You will have now the pleasure of sharing the frustration of all the Wacker shareholders of the conservative attitude of Wacker's outlook, which sometimes is frustrating, sometimes, is very prudent. And just as a philosophical question on that note as you sign off, do you think that Biosolutions deserves to be in Wacker? Or is it the next Siltronic and you should spin it off if you were still the CEO for the next sort of 3, 4 years? Thanks a lot and good luck.
Rudolf Staudigl: Thank you very much. Okay. Let me go sequentially through your questions and remarks. Currently, there is not a lot of pDNA business at all at this point in time. But we acquired the Genopis for the technology and the growing potential in the future. And in addition to that, it also has capacity that we can use for other CDMO product, not only for pDNA. But you never know what's coming. So we are - we will be ready very soon to produce pDNA also for vaccines if customers require that. On the semi-grade poly, of course, we supply to all major semiconductor or wafer makers and also to GlobalWafers, of course. Historically, we did that. And we expect that - we expect to do that in the future as well. In this segment, we certainly grow at least with the market. Actually, we want to still gain market share in these products. So we will do the necessary investments. They will not be very big on the volume side; but on the quality side, we certainly will stay the leading supplier for that. And the Biosolutions business, if I would stay in-charge at Wacker would not spin it off within the next, as you said, 3 or 4 years. I think it has a long-term very good potential. And this, in my opinion, it really has a home - has a very good home in Wacker. I don't think I will share frustrations. I mean I'm a shareholder of Wacker already.
Jaideep Pandya: It was a joke. I wanted to...
Rudolf Staudigl: I know. I know.
Jaideep Pandya: No. Sorry, but no - yes, please continue.
Rudolf Staudigl: No. No, that's fine. Sometimes, I - thank you very much. Sometimes, I share the frustrations how our stock is seen rather than the value of our stock. That's a joke, too. Thank you.
Operator: The next question is by Sebastian Bray of Berenberg.
Sebastian Bray: I would have a few on Biosolutions, please. Could you explain, firstly, the reason for the increase in sales guidance? I assume this is primarily because the - isn't because of Genopis, but you knew the RNA contract was coming. So what is the reason for the increase from high single-digit to double-digit percentage? And is there any RNA in the Q1 results? And then a more strategic question on this segment. If it's a core part of Wacker and if there are assets in the market, let's say, with a few hundred million dollars of sales, which Wacker could feasibly afford with Siltronic proceeds, would you potentially look at these? Now I appreciate there's always a question of valuation. But what in principle I'm asking is, would you have anything against making step-change acquisitions in this area at the right price?
Tobias Ohler: Sebastian, Tobias here. Quickly on your first question, there's no change in Biosolutions guidance from our side. So we confirmed - and definitely, the acquisition, as Rudi already mentioned, doesn't come with large sales in the first year. So there's no change from that. We have some headwind from integration costs that we flagged also, which will hold us back, especially in the first half of the year. But no increase in sales and no change to overall guidance from the acquisition.
Rudolf Staudigl: And on the strategic part, I mean, we certainly have a very sound financial position. So we certainly could move on opportunities. But as we stressed several times, we certainly do not participate, let me call it, in irrational exuberance in valuations.
Sebastian Bray: Got it. Understood. A quick follow-up on the Other segment. Does the €20 million negative result expected in EBITDA include the expected contribution from the Siltronic dividend, which you received this year, now it's in discontinued operations?
Tobias Ohler: Good question. No, that's before the result from equities associated to Siltronic. So the €20 million is - negative €20 million is a good assumption for our investments also in infrastructure and digitization. That is something that is not rolled into the division. So €20 million and then plus the equity result.
Sebastian Bray: Just to clarify, if Siltronic - if you receive a dividend this year from Siltronic of €10 million, let's say, then the factor of guidance would be for minus €10 million rather than minus €20 million for 2021? Is that fair?
Tobias Ohler: So I think I would like to take it back later. I don't really understand what your question is.
Operator: The next question is by Chetan Udeshi of JPMorgan.
Chetan Udeshi: A couple of questions. First question was, historically, solar industry, in general, has been pretty price-elastic. So in other words, when prices go up, you always see some sort of a moderation in demand; and when prices are low, typically that have incentivized more solar growth. Today, we hear from time to time, some module companies cutting production because polysilicon has become too expensive. Do you see that risk at the moment that, just given how high polysilicon prices have run up, that you might have some knock-on effect from that in terms of weaker end demand for solar in second quarter or second half? And second question was just a clarification. I just saw the sales bridge on - I think it was the second or third slide in the presentation. And it shows the pricing element is just 1% year-on-year, which seems too low given how much the polysilicon prices have gone up. So how you - does that mean the prices in other divisions haven't gone up at all?
Rudolf Staudigl: Chetan, let me address your first question. I think, again, there is a very high demand for renewable energy in the world. And with supplying the solar modules, I think it will be - it will certainly entail fluctuations over time. I don't think that polysilicon prices will go through the roof and sort of kill the profitability of the whole value chain. I think it will be just a normal business that will grow fast because of the worldwide demand because of the investments in sustainability, yes, and then sort of accompanied by fluctuations here and there. So yes, there might be a slightly reduced demand in some periods of time, but then it will accelerate again. I think that's how we should view it. It's certainly a high-growth business for a substantial future, I would say.
Tobias Ohler: Chetan, to your question on pricing and presentation, I mean you're really an expert in spotting details. Congratulations. I think I would love to go into more details with you after the call, if you don't mind. It has something to do with SAP and product changes. So the true price increase is a little higher, but in that type of analysis that was moved for this quarter more into product and mix changes. But if you are really interested in more details, I'm happy to have a call with you later.
Chetan Udeshi: No. That's fine. I understand. Maybe a follow-up to first question in just solar industry. Do you guys see any move in terms of - whether it's in U.S. or in Europe to start considering, not from yourself but from other supply chain companies, build solar infrastructure again in Europe or in the U.S. with wafer companies or module companies? Have you seen any activity in terms of building the local supply chain for solar in Europe or U.S.?
Rudolf Staudigl: Yes. Yes, there are investments in several European companies, including Germany. There just was announced - was an announcement from Meyer Burger, for example. They focus on high-end products. And by the way, they said they would only use Wacker polysilicon because it guarantees the quality that is needed. There are investments in Turkey, for example.
Tobias Ohler: And in Norway.
Rudolf Staudigl: Yes. Yes, in Norway. That's what I meant with several European companies. Also in Other, I mean, there are, yes, producers or potential producers interested, like out of France. So yes, I mean, there is certainly growing interest because it will be such an important business that some people talk about not only being dependent - or they want not only be dependent on China. I mean china is a very reliable supplier of solar modules, but the - it's a global business. So there are other people interested as well.
Operator: The next question is by Markus Mayer of Baader Bank.
Markus Mayer: I have two questions remaining. The first one is on the polymer division. You said that you broke up the contract structure as you're facing the installed surcharges or products in the polymers. Questions here, have you broken up the contract structure? Or was this an official efficient exit clause? That would be my first question. And then the second question is how do you see the announcement of this U.S. solar industry trade group yesterday issued a voluntary guideline for solar panel manufacturers not to buy components from - built abroad from - by forced labor. Is this something you think will positively affect you in the U.S. or from your German plants already short term? Or is this more of something which is far out? And then lastly, as already other analysts have said enough when you leave, Mr. Staudigl, I just want to say thank you for the good contact and wish you all the best for the future.
Tobias Ohler: Markus, on your question on polymers and pricing, since we last spoke, raw materials kept increasing. I think we talked about that. And spot prices are more than double of last year, and things won't stay like this. It's unclear how quickly tightness will moderate, but at some point, it will moderate. You can rest assured that we don't sit on the sidelines when such things happen. And we actively raise prices, and this is the daily talk in our business teams. And we need to do more. We announced what we call surcharges starting in April, and we do more starting in May. But as we have existing contracts, this is not easy. But so far, so good. We have a good level of acceptance by our customers because it can't stay like this. We need to have some burden sharing with our customers, and our customers do understand us in that respect because they also want to get our supply. So I don't think it won't stay like this. We have a strong margin focus. We have a strong pricing focus. We have a strong demand environment. Over time, it will normalize. And we are in that business for long. And so surcharges in such, yes, almost crazy situation is a very good means in order to come to a good solution also for our customers.
Markus Mayer: Very clear. It was just a question as I read from other companies that there are discussions that contract structures are really broken up, which, of course, delayed down a big risk. But now I understand that this was not the case. Okay.
Tobias Ohler: Yes. Exactly.
Rudolf Staudigl: We keep contracts. On the other comment or question, we are aware of these discussions that are going on. Presently, of course, we are sold out in polysilicon, so it does not have any impact on us. And yes, in general, I think it's better not to participate in political discussions. Poly is coming from polycrystalline and not politics.
Operator: The next question is by Sebastian Satz of Barclays.
Sebastian Satz: Sorry, I was late for the call, so apologies if the question has already been asked. Just wondering how much of the €200 million raw material increase that you are seeing for the year you expect to happen in polymers? And how much of that do you think you can pass on to your customers this year? And then secondly, on silicones, can you just define what low double-digit means in terms of the outlook? Is it low teens? Or could it be in the 20s as well? Apologies if it's already been asked.
Tobias Ohler: Sebastian, to your question on the raw material headwind and the €200 million, it's mostly polymers. I don't want to go into more details. We are - as just said, we are trying to pass on as much as possible to our customers. I just explained our approach to this. So it's about burden sharing. But we will have some hit in this year as we also expressed in our guidance that we lowered. And we said that for the second quarter, which will be the toughest, we expect a single-digit margin. And for the full year, we will not be able to reach our previously guided target margin between 15% and 18%. And the second question was on silicones. Could you kindly repeat it?
Sebastian Satz: You're guiding for low double-digit EBITDA growth, whether you could narrow that a little bit, whether that you mean low teens or whether that could also be in the 20s?
Tobias Ohler: I would...
Rudolf Staudigl: Between 10 and 20, most likely.
Operator: The last question is by Thomas Wrigglesworth of Citigroup.
Thomas Wrigglesworth: Yes, firstly, Dr. Staudigl, let me echo the sentiments from Andreas on your successful tenure at Wacker. I'm just trying to square an earlier question with your comments around wanting to keep up with customers. What are the conditions that you would need to see to invest in new polysilicon capacity, be it in the U.S. or in Europe, given the demand - I mean prices are high, margins are good. Do you need to sign off to - yes, kind of your thinking on what you need before you start to reinvest in that chain will be much appreciated. Second question, just - I think we saw peak silicone margins at around 27% in 2018. Do you think we're on trajectory for that? And is that something that is encompassed within your double - your guidance growth that we would get to a kind of 25%, around that type of level margin?
Tobias Ohler: Thomas, Tobias here. On your second question, if you compare silicones to 2018, please bear in mind that '18 was a tight market for standard products. Right now, we have a very good momentum for specialties, and we have a balanced market for standard products. So we do not have that very high and solid pricing. And I think that makes a big difference.
Rudolf Staudigl: Yes. On polysilicon, when would we invest? Well, we certainly do debottlenecking steps all the time, which does not give us a lot of additional capacity. But nevertheless, I think these are very positive steps in terms of cost reduction and some additional quality. In semiconductor polysilicon, as I said before, we certainly grow at least with the market, if not more. I mean our ambition is to grow more than the market. I mean, what do you need on reinvestment conditions in solar? I think you need assurance that it's a profitable investment. And I mean, in the past, we always said polysilicon will become a normal business. And what a normal business mean? It's supply and demand based and not politically based. As you know, within the past 10 years, there was a lot of, let's say, trade conflicts that also entailed polysilicon. This is - these are certainly not reinvestment conditions. So no, we are certainly observing what's going on in this market. We have a great position as the top-quality supplier, and we will certainly keep this position. This is our ambition. And when time will come at a certain - somewhere in the future, I mean, we are not opposed to adding capacity, but just under normal economic conditions. That's what's necessary.
Thomas Wrigglesworth: And you don't feel that that's quite there yet?
Rudolf Staudigl: I mean, we have a situation right now where we have a shortage. And there are competitors that announced incredible capacities. Whether they will build them or not, I don't know. But under these conditions, we are certainly not interested to build also incredible new capacities. So we stay our course supplying the highest-quality material and doing debottlenecking steps to keep up with the demand for the very high-quality material.
Thomas Wrigglesworth: Don't let me keep you from refreshments now.
Rudolf Staudigl: Well, thank you very much also for your comments in the beginning. Appreciate it.
Joerg Hoffmann: Thank you all for joining us today and for your interest in Wacker Chemie. We're looking forward to further discussions with you as the quarter progresses. Goodbye.
Operator: Ladies and gentlemen, thank you for your attendance. This call has been concluded. You may disconnect.